Operator: Good morning. My name is Bobby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Spectrum Brands Fiscal 2014 Third Quarter Earnings Call Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, July 30, 2014. Thank you. I would like to now introduce Mr. David Prichard, Vice President of Investor Relations. Mr. Prichard, you may begin your conference.
David A. Prichard: Good morning, and welcome to Spectrum Brands Holdings Fiscal 2014 Third Quarter Earnings Conference Call and Webcast. I'm Dave Prichard, Vice President of Investor Relations for Spectrum Brands, and I'll be moderator for today's call. Now to help you follow along with our comments, as some of you know, we have placed a slide presentation on the Event Calendar page in the Investor Relations section of our website at www.spectrumbrands.com. This document will remain there following our call. Now let's start with Slide 2 of the presentation. Our call, again, will be led today by Dave Lumley, our Chief Executive Officer; Andreas Rouvé, Chief Operating Officer and President, International; and Tony Genito, our Chief Financial Officer. Dave, Andreas and Tony will deliver opening remarks and then conduct the Q&A session. Now turning to Slides 3 and 4. Our comments today include forward-looking statements, including our outlook for fiscal 2014 and beyond. These statements are based upon management's current expectations, projections and assumptions and are, by nature, uncertain. Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors and cautionary statements that are outlined in our press release dated July 30, 2014, and our most recent SEC filings and Spectrum Brands Holdings' most recent 10-K. We assume no obligation to update any forward-looking statement. Also, please note we will discuss certain non-GAAP financial measures in this call. Reconciliations on a GAAP basis for these measures are included in this morning's press release and our 8-K filing, which are both available on our website in the Investor Relations section. Now for the third quarter of fiscal 2014, Spectrum Brands reported net income of $78 million or $1.47 diluted income per share on average shares and common stock equivalents outstanding of 53 million. This compared to net income of $36.1 million or $0.69 diluted income per share on average shares and common stock equivalents outstanding of 52.7 million last year. By segment, for the third quarter of fiscal 2014, the Global Batteries & Appliances segment reported net income, as adjusted, of $44.4 million versus $32.2 million a year ago. The Global Pet Supplies segment reported net income, as adjusted, of $22.3 million versus $24.5 million in fiscal 2013. The Home and Garden segment reported net income, as adjusted, of $47.8 million compared to $42.8 million last year. And finally, the Hardware & Home Improvement segment reported net income, as adjusted, of $48.3 million versus $40.1 million a year ago. With that, I am now pleased to turn the call over to our Chief Executive Officer, Dave Lumley.
David R. Lumley: Thanks, Dave, and thank you all for joining us this morning. Let's turn to Slide 6. We're pleased to report a record third quarter, which follows record results in our first 2 quarters and maintains our momentum to deliver a fifth consecutive year of growth and record financial performance. Our Home and Garden, HHI and battery businesses had especially good results this quarter. We have achieved consistent sales growth every quarter this year or about 3.5%, this in spite of what we believe remains a challenging retail environment, with consumer takeaway that is very sluggish and, in some areas, flat to declining, especially in North America, a market that has slow store traffic and very tight retailer inventory levels and, especially as of late, very tight reorder rates. As we have emphasized before, our Spectrum Value Model continues to work effectively and resonate with retailers and consumers in a difficult global economy. Our same or better performance/less price, value-branded and largely nondiscretionary Spectrum Brands products continue to win in the marketplace with today's smart shoppers, who are focusing more on value. This is the right place to be, we believe, in an environment with unusual discounting, both in terms of price to the retailer and price to the consumer. Let's now move to Slide 7. Here, you'll see our sales increase was 3.6%, with our North America, Europe and Latin America regions all contributing to the growth. This followed a 3.4% sales increase in our second quarter. Our adjusted EPS of $1.30 grew a strong 44%. Adjusted EBITDA increased 7.3%, about twice the rate of our sales growth, which is similar to the leverage in the first 2 quarters. This was our 15th consecutive quarter of year-over-year adjusted EBITDA growth. We are pleased that our adjusted EBITDA margin increased again as well, this time 60 basis points to 17.9% versus 17.3% last year. We're on track for a seventh consecutive year of adjusted EBITDA margin growth since fiscal 2007. On the cost side, we achieved an all-time high fiscal second quarter record, and it is our third quarter level of continuous improvement savings, building on similar first and second quarters' records. With a solid 9 months of results behind us, we also expect our September quarter to grow year-over-year. This should be driven by an exciting mix of new product launches; secured retail distribution gains; new retail customers; continued geographic expansion, especially in Europe, Latin America and Asia; and select pricing actions. We are tracking to another record annual level of cost reductions as well, as our divisions focus on delivering savings of 3% to 5% of their annual cost of goods sold. And as is our business model, we will continue to maintain strict spending and expense controls. Let's turn to Slide 8. Growing adjusted EBITDA and maximizing our sustainable free cash flow is our main focus. Free cash flow is expected to reach at least $350 million or nearly $7 per share in fiscal 2014 versus the $254 million or nearly $5 per share last year. And that compares to $208 million or $4 per share in fiscal 2012. Deleveraging our balance sheet is also a top priority. We have reduced term debt by $125 million through July as part of our plan for a total term debt reduction of approximately $250 million in fiscal 2014, thereby reducing total leverage by about a half turn, so to end the year at about 4.2x or less. Long term, our objective is to maintain a total leverage ratio of 2.5x to 3.5x. Let's now turn to our individual businesses, beginning with Home and Garden, which is your Slide 9. Home and Garden reported record results in Q3, its seasonally largest quarter of the year. This follows record first and second quarter results. Sales and EBITDA both grew 12% to record Q3 levels. This was primarily from higher personal and area repellent sales, which was driven by market share gains, favorable weather, coupled with improved household control sales due to distribution gains at key retailers. Also contributing to a lesser degree was the positive impact of our accretive Liquid Fence acquisition, which we did this January. Third quarter EBITDA margin reached 29.6%. Excluding Liquid Fence, the base business also achieved record Q3 sales and EBITDA. Home and Garden is driving for another record year. Despite the slow start due to weather in April and early May, our assumption for a somewhat more normal season and quarterly weather pattern this year is generally playing out versus the reverse of last year, when the third quarter was much lower and the fourth quarter was much stronger than normal. So as a reminder, Home and Garden this year is comparing to a very strong record September quarter the last year. Finally, integration is ahead of schedule for Liquid Fence, with volumes and EBITDA tracking to our expectations. We're very pleased with this tuck-in acquisition and a good year-to-date for Home and Garden. Now to Remington, our personal care business, which is Slide 10. Q3 sales grew nearly 2%. All geographic regions contributed. EBITDA, however, grew at a much higher rate, which was similar to a high rate in the first half. Remington expects to be close to achieving record sales and EBITDA this year. Remington is growing its grooming and women's hair care business even while category softness remains in men's shaving. In North America, new products are launching in the fourth quarter and into the important first quarter Christmas holiday season. They include an updated version of our Silk Hair appliances line on the women's side; and for men, expansion of our Hyper -- new Hyper series of high-end shavers through the new Smart Edge foil program, which we believe is our best foil shaver ever. In Europe, this quarter, we're launching our virtually indestructible hair clipper, the line of Smart Edge foil shavers and a unique women's hair care collection, which will be called Your Style. We see strong sales in Remington's e-commerce business, which we expect to continue as more shopping moves online. Okay. Let's turn to our small appliance division of Global Appliances, which is your Slide 11. Somewhat lower Q3 sales were due to the elimination of low-margin, promotional North American and especially Latin American business with several retailers, but Q3 gross profit margin for the global small appliance business improved 200 basis points, and adjusted EBITDA grew at a double-digit rate. We were pleased as well with the strong Q3 sales growth and higher EBITDA in Europe from new product launches and distribution gains. While sales were slightly lower, Latin America's EBITDA grew significantly as well. In this climate of heightened promotions and discounting, we carefully select our small appliance opportunities and seed our future sales growth with the most new products launching now and into fiscal 2015 since the 2010 Russell Hobbs acquisition. For example, we have a new dual-purpose Black & Decker Mill 'n Brew coffeemaker, our new RapidToast toaster and now have an ExtraWide countertop oven that will fit 9 by 13 pan. And in George Foreman, we have a digital searing grill, which sears as high as 500 degrees; and a George Foreman 5-minute burger grill, which was just recognized by Housewares Executive, a leading newsletter for home products industry, for leadership and innovation in the grill category. In Europe, we are launching our Illumina breakfast collection and our first automatic soup maker in the fast-growing U.K. and European category. We are also excited about our e-commerce growth with our key partners, and we'll continue to invest in this area. We are building on progress made the past 2 years on the cost side to improve margins as well. Our small appliances and personal care businesses, together we call Global Appliances, are working effectively with our Asian supply base to achieve cost improvements that are tracking higher to date and should exceed a record level of last year. Now let's go to Slide 12, Global Batteries. Global Batteries reported its second consecutive quarter of sales growth with a 3% increase in Q3. Adjusted EBITDA increased at a double-digit rate again to a record Q3 level, with all regions up. In fact, the adjusted EBITDA margin expanded 200 basis points. This follows record Q1 and Q2 adjusted EBITDA levels. How? Well, we have new retail customers. We have new products. We have distribution gains, geographic expansion and effective promotions that drove this performance. We believe the battery business can achieve record adjusted EBITDA this year. We are also tracking to a record level of continuous improvement savings. Still, selective price discounting, promotions and concessions to retailers continue at elevated levels in North America in this marketplace. Data suggests as well that lower store traffic and tight retailer inventory management, which is usually a result of slower-moving premium-priced products, are affecting the business. Nonetheless, our battery business remains a strong, EBITDA-producing cash flow generator with steady performance. We actually reinvest battery cost improvement into enhanced product performance for the consumer, retailer POS programs and to help the retailer and ourselves drive market share. Again, our goal is to provide the best solution for the retailer and the consumer in the battery business. Now let's move to Global Pet Supplies, which is your Slide 13. Pet has had a challenging quarter and year-to-date. The shortfall is exclusively for a continuation of major aquatics category softness on an industry level in North America and lesser so in Europe. Despite this, our pet business delivered a 20.2% adjusted EBITDA margin in Q3. In North America, macroeconomic factors, including a challenged consumer, have impacted pet store and big-box pet area traffic. The severe winter weather hurt earlier this year as February and March were typically larger aquatic demand months. However, our aquatic sales decline is much less than the overall category and our competition. The good news is that we are growing market share. We are the category pacesetter in product innovation with our leading and well-known Tetra brand. This positions us well as the category recovers, as it eventually did from 3 similar drops over the last 15 years in the aquatics business. How are we going to do that? Well, we are focusing on 3 pillars of success: We are increasing startups into aquatics; we are increasing trade-ups within the category of tanks; and we are decreasing dropouts by helping fish live longer and providing more reasons to get involved. Pet also has an outstanding pipeline of innovative aquatics and companion animal products all launching in the quarters ahead. For instance, its cool new Color Fusion line of aquatics products just hit the shelves. And we are bringing innovations to fish tank LED lighting through multi-colors. Let's switch gears. Let's go to companion animal sales, which increased in Q3. We have new products launching in that category too, including a FURminator electric clipper and Nature's Miracle foaming stain and odor product, along with continued geographic expansion in Europe and Latin America. So operationally, pet should have another record year of cost savings, which is being coupled with significant expense reduction programs in light of the challenging retail environment. And by that, I mean POS or point of sales takeaway throughout the industry. And now let's move to our Hardware & Home Improvement business or your Slide 14. HHI delivered a very strong quarter. Sales grew nearly 8%. Adjusted EBITDA increased 13%, with the margin expanding almost 100 basis points. This strong sales-to-EBITDA leverage performance has characterized HHI this year. Q3 growth came from improvement in U.S. residential security and also in U.S. plumbing and builders' hardware, this along with continued international expansion. Growth areas continue to include residential security. This includes our unique SmartKey and Kevo Bluetooth products. We have increased penetration in the multi-family, showroom and hospitality channels. This would include nonretail plumbing. Our builders' hardware growth continues to grow through product adjacencies. And with the modest new housing uptick and international expansion in Latin America and Asia, we are pleased with the continuing growth of this business. As a reminder, we've been more conservative in estimating new housing starts this year than most others originally were. So HHI's mix continues to be about 75% in repair, remodel and rebuild and just 25% tied to the new housing starts. HHI is making good progress as well to increase its rate of cost reductions as it moves towards our division annual cost reduction goal of 3% to 5% of cost of goods sold, and they are moving more quickly to our shared services model. Already, together, we have achieved the initial $10 million of synergies from this acquisition but have now identified further synergies and integration savings over the next few years in such areas as IT, sourcing and distribution and transportation. So I want to thank you all. I want to now introduce Andreas Rouvé, our Chief Operating Officer and President of International, for some brief remarks about our performance and continued growth in international regions.
Andreas Rouvé: Thank you, Dave, and good morning. Turning to Slide 16. As Dave mentioned, we are faced globally with a slow economic recovery, where consumers are increasingly price-sensitive. This trend is obviously supported by the growth of e-commerce, but also the growth of the discount channel, especially in Europe. While we benefit from this trend as consumers and retailers focus more on products which are as good or better than those of our competitors but at more attractive prices, we have to admit that we are not immune to the strong price pressure in the market. For total Spectrum Brands, currencies had only a very minor impact in the third quarter. However, there are regional differences. Our pet division, for instance, was impacted significantly by the strong drop of the Japanese yen against the euro as we produce and export our fish food from Europe to Japan, among other countries. But as you can see in the chart on this slide, this impact will improve from the fourth quarter onward as spot rates are now much closer to last year. Looking at our international performance in the third quarter then, it is encouraging that we continue to grow our adjusted EBITDA strongly despite this challenging economic environment. As in the previous quarter, sales growth continued to be a major driver. HHI and batteries continue to grow at healthy rates in all international regions. Also, appliances continues to gain new customers and more product listings. However, in the third quarter, our appliance growth rate was lower than normal, as we decided to exit a major unprofitable business in Latin America. Also, our pet division was hit by a onetime negative impact over product registration issues in Russia, but we are confident that we can overcome this negative pet impact soon. The outlook remains positive. We continue to execute in the third quarter our core sales growth strategies. We are leveraging our international footprint to enter into more countries, such as with our pet division entering into Brazil, Mexico, Australia. For the second pillar of our growth strategy, we continue to expand and serve more channels. As such, we have used, for some of our higher-value products, the DRTV channel. And last, not least, we utilized our strong retailer relations to launch more categories, such as LED lightbulbs under the Rayovac brand in Latin America. Obviously, there are also external risks, but we are confident that with our strict hedging approach and our broad product and country mix, we will continue to minimize any negative external impact. With that, I would like to hand it over to Tony for the financial comments.
Anthony L. Genito: Well, thank you, Andreas, and good morning, everyone. If we could turn to your Slide 18. Let me first comment on our gross profit and margin for the third quarter. Our gross profit of $417 million and margin of 37% compared very favorable to $383 million and 35.1% a year ago. Third quarter operating expenses were essentially flat, as lower acquisition, integration and restructuring-related charges offset higher SG&A, really driven by increased volume in sales and timing. Third quarter interest expense of $47 million decreased $15 million from $62 million last year, principally as a result of savings from the refinancing of our 9 1/2% notes last September. 2014 full year interest expense is now expected to be in the range of $199 million to $203 million, which includes $152 million in the first 9 months, of which $11 million was onetime items related to our term loan refinancing in the first quarter of this year. Regarding depreciation and amortization, we expect 2014 full year D&A to approximate $198 million to $202 million, which includes $145 million in the first 9 months. Our third quarter effective tax rate was 21% compared to 29% last year. We now expect our 2014 effective tax rate to be 20% to 25%, which is lower than last year due to the positive impact of recent entity simplifications and a rate change in Mexico. To calculate our adjusted EPS, of course, we continue to use a 35% tax rate. Let me highlight a few more key items in our financial statement. Cash payments for restructuring, acquisition and integration charges for the third quarter were $10 million versus $21 million in 2013. This $11 million decrease was primarily due to the winding down of acquisition-related expenses and legacy business restructuring initiatives. Cash interest for the third quarter of 2014 was $58 million compared to $94 million in 2013. The $36 million decrease was primarily due to the timing of interest payments on our term debt compared to our 9 1/2% notes that were refinanced last year. Cash interest payments for the full year fiscal 2014 are expected to approximate $170 million to $175 million. If we now turn to your Slide 19. Our cash taxes for the third quarter of 2014 were $37 million compared to $9 million in 2013. The increase of $28 million was due to timing of payments, principally in Germany. Based on the level of NOLs we expect to be able to utilize, we do not anticipate being a U.S. federal taxpayer for the next 5 to 10 years. However, we will continue to incur foreign and a very small amount of state cash taxes. Cash taxes are still expected to be $75 million to $85 million for fiscal '14, due in part to our overall higher international profits. Our 2014 cash taxes are higher than 2013, mainly due to the timing of payments, again, primarily in Germany, and the anticipated conclusion of several income tax audits in certain jurisdictions from the 2007 to 2010 period. Going forward, we expect our normal annual run rate of cash taxes to be in the range of $55 million to $60 million. Now we ended the third fiscal quarter of '14 in a solid liquidity position, with $194 million available on our $400 million ABL working capital facility and with a cash balance of about $85 million. At the end of the quarter, total debt at par was $3,344,000,000. Regarding our cash flow projections, given the strong cash flow potential of our businesses, our goal is to generate at least $350 million of free cash flow or approaching $7 per share in fiscal 2014. And we continue to see a pathway to approximately $400 million of free cash flow or nearly $8 per share in fiscal 2015 before factoring in any growth in the business. We expect capital expenditures to approximate $70 million to $75 million in 2014 versus $82 million in 2013. Our normal long-term run rate is expected to approximate $65 million to $70 million in capital spending, which we believe will be sufficient to fund ongoing new product introductions, product enhancements, cost improvement programs and maintenance of equipment. Thank you. And now with that, I'll turn it back to Dave for our Q&A.
David A. Prichard: Okay, thank you very much. Operator, you may now begin the Q&A session, please.
Operator: [Operator Instructions] Your first question comes from the line of Bill Schmitz from Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: [Audio Gap] model wrong on the lawn and garden segment. So can you just like sort of, in big picture, broad strokes, tell us what do you think it might decline in the fourth quarter?
David R. Lumley: Bill, could you restate your question? We only got the second half of it.
William Schmitz - Deutsche Bank AG, Research Division: Yes, yes, of course. I was just wondering, like do you think the lawn and garden business will decline in the fourth quarter just because the comp is so hard given the weather shift? I just don't want to get the model wrong.
David R. Lumley: Well, all I can say is that was a very strong quarter last year, unusually strong. And I think you'd have to do the best you can on that. Obviously, our hope is to try to do as well as we did last year. Right now, the industry is not, overall, a positive on a POS basis. The reports just came out. I think it was down 2%.
Anthony L. Genito: It was all over.
David R. Lumley: Yes. So I would say that I think, most likely, it will probably be a normal season. Now we've gained share. We're doing pretty well with some of our products. So who knows? That's the best I could tell you.
William Schmitz - Deutsche Bank AG, Research Division: That's fine. And then on the pet side, are there any signs of life? I mean, like are certain channels growing faster than others? I mean, I know it's probably your most macro sensitive...
David R. Lumley: Well, pet has been through this before in the aquatics business. It comes up. It comes down. We have some unusual activity going on in the pet business with retailers right now. For aquatics to go forward, there needs to be more fish tanks in stores. If there are no fish tanks in stores or there are a reduction of fish tanks in stores, you sell less aquatics. If you don't sell the tank, you don't sell the fish. You don't sell the fish, you don't sell the food. But I believe that the retailers we've talked to have recognized this, and I think we're going to see that turn around, like it has before. We also have some exciting new products. And even though we're down a little bit, we're pretty close to last year's sales. So this isn't that bad. I do think it will turn around. I think you'll see next year really do better, as there's a lot of new things we're doing there to stimulate, and the retailers are as well. On the companion animals side, we're doing quite well in a lot of our products there. So I think that you'll see pet rebound next year and do quite well. But this is an industry challenge right now, and it is a global basis. But again, these things go through cycles as the consumer makes choices and looks at things. And frankly, you have to give the consumer something new to get excited about, and I think we're doing that again.
Anthony L. Genito: Yes, in that regard -- Bill, this is Tony. Just to add on to what Dave said, which I agree with fully, so as Dave said in his prepared remarks, it's -- in this -- in the aquatics business, it's really about increasing startups, the trade-ups and then trying to decrease the dropout rates. And I have to say that our pet business has a lot of new products that's based at -- that's in the pipe to address those issues, which, let's face it, the first and foremost is the startups and then the -- avoiding the top-up [ph] rates, those 2. And then once you get beyond that, then it's about trade-ups. But clearly, some of the new products that we'll be launching are pretty darn exciting. So we're happy about that.
William Schmitz - Deutsche Bank AG, Research Division: Great. And then, Tony, last one before you abandon us. The leverage ratio for 2005 (sic) [2015] , I know you haven't given any like 2005 (sic) [2015] guidance yet. But do you think you'll get into that 2.5 to 3.5 range? I mean, if you look at the run rate the last 3 years, it looks like a half a turn plus the debt coming out. So is it reasonable to assume that you could get within that range next year?
Anthony L. Genito: Yes, it's a great question, but I don't want to get ahead of my skis here because we haven't given any guidance for '15. But what I will tell you is that we're a cash flow-generating machine. We're very pleased with where we've been over the last couple of years and the increase in our cash flow. And as I like to state, and you've heard me say this before, a company that's trading $350 million, $400 million and then continuing to do that and more cash flow down the road, you have a lot of optionality. And optionality is a great thing. So it comes down to capital allocation and what is the best opportunity at a given time. And again, when you're generating that level of cash flow, you really do have some nice optionality. So we're continuing to stay focused on the core concepts of taking that cash flow and the allocation of capital to looking at smart tuck-in, bolt-on acquisitions, obviously servicing our dividend and growing that as our cash flow grows and looking at opportunities to stay focused on reducing our leverage. So I don't want to get, as I said, ahead of my skis here and give specific, quantitative numbers, since we haven't done that yet, but that's really where our focus remains.
Operator: Your next question comes from the line of Mike Dahl from Crédit Suisse.
Michael Dahl - Crédit Suisse AG, Research Division: To ask a couple of questions on the HHI business, there's a bullet point in the slides talking about a focus being placed on large and attractive light commercial lock category. That's something where that business hasn't really been focused on in the past. So is that something that you think about as an organic opportunity or something that you may have to pursue via acquisition?
David R. Lumley: This is Dave Lumley. One of the key things in our acquisition of Tong Lung was their ability to be in light commercial. And I think that as we are integrating that into our system, we have the opportunity now soon to make a big bigger push into that organically. And of course, we are always looking for the right tuck-in acquisition for all the businesses on the HHI platform. But again, Tong Lung gives us the opportunity to do that. So I think we're feeling good about getting to that next step soon.
Michael Dahl - Crédit Suisse AG, Research Division: Got it. And then second question, is there any color you can give us around what the contribution of new products, such as Kevo, have been to the HHI platform or maybe just the overall vitality index versus last year?
David R. Lumley: Well, I think that's a really good question, and I think you have to view this 2 ways. Why Kevo has provided double-digit millions of growth, it is a high-priced product. It is a what we would call umbrella product, which really sets the stage for the technology. What it really has done is push their new product vitality rate quite high or the highest it has been on Kwikset SmartKey locks, which cost less. Remember, when you buy a Kevo lock, you're not buying it for every door. You might be buying it for 1 door or 2 doors. But it also has highlighted our SmartKey technology, where people are seeing that as an advantage to our competitors' locks, which don't have that, and giving you great flexibility. So I can't give you an exact number, but I can tell you that it's a multiple of almost 5 on the sales of what it's been able to do to sell Kwikset and SmartKey technology. So it's quite high. And again, we talk a lot about umbrella products and how they can elevate the whole line. This is a perfect example of being able to do that. So it's been very successful on -- it not only has its own product and its technology but its ability to drive our everyday business.
Operator: Your next question comes from the line of Connie Maneaty from BMO Capital Markets.
Constance Marie Maneaty - BMO Capital Markets U.S.: Could you give us a bridge -- the bridge from last year's gross margin to this year's 37.1%? Because going back, I think, by quarter to when the company emerged from bankruptcy, you hit 37%, I think, only one time. So what was responsible for it? And is it sustainable?
Anthony L. Genito: Yes, Connie, it's a couple of items. One is we've been focused on exiting low-margin business and looking to obviously have -- we're all in favor of sales, but we want profitable sales. So that's one item. The other is we have a record level of CI, what we refer to as CI, which is cost improvement, continuous cost improvement initiatives, that we've been very focused on and bringing that into all -- and it's actually hitting in all of our businesses, for instance, pet, which did not really have a focused cost-improvement initiative several years ago, has been really adding value to that with the in-depth operations group that we have there now at pet; and also HHI. And I'd say the last element would be product mix in the third quarter. Keep in mind that the third quarter is our strongest quarter for the H&G business, our Home and Garden business, which enjoys extremely strong margins. You know that, that is our highest-margin business. And of course, HHI had a stellar quarter as well, which enjoyed some very nice margins. So it's really driven by those key elements.
Constance Marie Maneaty - BMO Capital Markets U.S.: That is helpful. Do you see any impact from the merger of the dollar stores? And where do they rank in terms of your customer base? Will there be an inventory impact as those 2 combine?
David R. Lumley: This is Dave Lumley. That particular merger should have little impact on our current business. However, I am encouraged by it because it will give us the opportunity to readdress that -- those 2 stores as they come together, where we think we have a compelling selling proposition, where when they were apart, they did things completely different and they used different types of suppliers. So I think, in our case, it's an opportunity for us to readdress that.
Constance Marie Maneaty - BMO Capital Markets U.S.: Okay. And just one last one, if I could. You said in your prepared remarks that retailers were tight on reorders. So could you tell us if your ship-in is above or below sell-through and what the outlook there is?
David R. Lumley: Yes, that's a really good question, and we put that comment in there on purpose. Especially in North America, retail is going through quite a transformation. You have the impact of e-commerce on certain businesses and the shift there. You have a movement to smaller store formats. You have a shift in the consumer themselves, who have less money to spend than they did before on even nondiscretionary items like ours. So what's happening is, as retail learns this, there is a movement right now to slow down reorder rates or what we would call fill rates or what's in the store. So in a perfect situation, on a store shelf, there would be 100% in stock. Everything would be on shelf, too, with 6 items. Lately, as stores are learning and changing and rebalancing, these are falling into the 90s and, at times, 80s. And we've seen as low as the high 70s, especially in seasonal businesses. So -- and that's usually caused by a few things. The store has maybe overbought one item that's not selling, so their total inventory shows up, but their fast sellers are sold out. So this is -- this rebalancing is really going through quite a dramatic change for all those reasons now. So on our case, because we tend to sell more units and sell them faster, same performance/less price, we actually have suffered a bit through that and not had the type of reorders as we wait for inventory to rebalance. I think we'll see that clean out. Retailers are very smart in how they do this as they rebalance in the coming quarter and especially the holiday quarter. So I'm optimistic that these rebalancing of inventories will help Spectrum Brands' products.
Operator: Your next question comes from the line of Bob Labick from CJS Securities.
Robert Labick - CJS Securities, Inc.: I just wanted to start -- you've touched on it a little bit here. Obviously, we've all talked about and seen the tough retail environment out there. Could you talk more about your e-commerce exposure and your strategy for growth on the e-commerce side?
David R. Lumley: Yes. We've done better than we thought. We started a little slow on this, like most manufacturers did. We explored going direct to some extent. We explored how to work the best way with our key customers as they brought their dot-com sites up. And of course, we have learned how to deal with what I would call a pure play, someone like the biggest Internet seller in the world, right? And what we've found is that we have found a model that works best for Spectrum Brands products. And that is that we're going to get as much content as we can on the Internet, coordinate with our retailers between what they need in-store and online, get the reviews out. And our growth has been better than we thought. And that's because if you have a product that's same performance/less price and you can get a lot of reviews on it and you can get good ratings on it, it forms as a better and more effective advertising than if we were to put a whole bunch of consumer advertising out there, which actually isn't our strategy. So we are growing quite well on that, and we have invested a lot more people in it, a lot more emphasis on it. And we're going to continue to do that as we drive these reviews, drive these star ratings right through to retail, into the stores where those customers always want us to do that. So again, I'm really enthused with it. And we're going to continue to disproportionally invest in sales, marketing products and ways to do that, and especially in our appliance and personal care, pet business and even HHI does quite well online. I think we have some other businesses where the online really wants to gather information before they go to a store, take Home and Garden or batteries and like. So it's something to watch. It's here, it's real, and I think you're going to see -- you will see these same investments going out with our retailers, which we're working with very closely.
Robert Labick - CJS Securities, Inc.: Okay, great. And is there any way, this may be difficult, but to quantify maybe your overall e-commerce exposure, not to any one but on an aggregate basis now and maybe where you expect that to be a few years down the road?
David R. Lumley: Well, yes. I think it's a percent of sales. I mean, when we started, we thought 1% of our sales or 2% would be good. We're much higher than that. I think that depending on the category, this will grow from the mid single digits maybe to 10% of sales in certain categories for people like us, and I think it will continue to grow at about a 20% to 30% rate for a while. And every market then will find a saturation point, right? And that -- and I think the challenge that e-commerce has to grow beyond that is the cost of distribution and transportation, correct? Yes, and not a lot of this is incremental. A lot of it is just simply a shift from brick-and-mortar to online. However, I think for a company like Spectrum Brands, it is more incremental than normal because we have the opportunity to launch higher-priced products than we can in the store at the moment and launch things, test things there that we couldn't do in the store. So that's another reason why it's very exciting for us. For instance, think of our Kevo products as a great example at that price point, our i-LIGHT product at Remington, which is instant hair removal, things like that. The web gives us a tremendous opportunity to do that, where you wouldn't really charge in to one of our key retailers with a $250 product, right. So again, a really good opportunity, I think, for people like Spectrum Brands' model. I'm not so sure how good of an opportunity it is for premium-priced product long term.
Operator: Your next question comes from the line of Kevin Grundy from Jefferies.
Kevin M. Grundy - Jefferies LLC, Research Division: So Dave, 2-part question, I guess, on batteries. Talk a little bit about the opportunity with respect to distribution in North America because you seem to be doing well there and quite a bit at odds with what we see in the syndicated data. And then to the extent you could touch on the performance of that business internationally too, that would help. And then the second part is, philosophically, are you opposed to taking that portion of your business, from a mix perspective, significantly higher over time, whether that's through organic or through M&A?
David R. Lumley: Okay. Well, I'll answer the front part. I'll have Andreas talk about international, and then we'll come back to that last part. Batteries are sold everywhere. They're just not sold to stores that Nielsen tracks, and I guess that would be good if that -- for some of our competitors if that was the case. Our strategy has been to sell mass merchants, home centers, industrial and 2-steps. We have not been strong in grocery and drug, although we are starting to grow in drug, for the matter of that it's more difficult. The volumes are smaller. They tend to be more private label, and they tend to be more tied to companies that are strong in food business, okay? We're not in the food business. So our growth has come in those areas. Also, we have the ability in home centers, with our strength of HHI, Home and Garden and our merchandising forces, to do well. Now Nielsen doesn't track the home centers. They don't track the 2-step hardware. They don't track industrial sales. They don't track many of the people we sell to. However, they're in the top 10 of battery sales. So it's just 2 different approaches to the marketplace. Our share has grown into the 16, 17, 18, depending on the quarter. We believe we have a compelling selling proposition. Our batteries last as long as the 2 leaders, and they cost less. Batteries are an impulse item. Almost 65% are sold on impulse. So the more that the retailer puts it in the store, the more they sell. So we will continue to push forward on that. We'll continue to push forward on providing better margin to the retailer and a better deal for the consumer. Now we're still just that size of the market. There are 2 other people that have 70% of the market and are very strong in grocery and drug. So we'll continue to do that. I think it's a good growth opportunity for us. I think that the numbers that you guys always see on the battery business, where it's down 2% or 4% or 5%, are on dollars. The equivalent uses or cells, the actual amount of single batteries that are sold, they're not down. So as we go through these shifts of strategy by the other 2 competitors, or long-term goal, you're going to see dollar discount. So that's why it appears that some shares are different and some industry sales are up or down. At the end of the day, the amount of devices that are using batteries are the same as they've been for a long period of time. So I think that's a good, solid way. We're going to continue doing what we're doing. We're going to continue to try to bring innovation to the marketplace. It's a good business. Everyone needs batteries. As long as there's more people, they're going to need batteries. We continue to try to bring rechargeable batteries out so they can recharge them. We continue to try to encourage people to do the right things with batteries, which we will continue to do. So I think it's a solid business. I don't think it's [indiscernible], the clip, and we like it. So we're going to continue to pursue sales growth in it. Now however, if you really study our numbers, growing in sales in this with dollars declining is more difficult than growing in units, right? So now as we move to international, international is much different than North America. North America sells branded batteries. Only about 10%, 12% of the market is private label, and that's dominated by 1 or 2 people, okay? And the impact of Chinese batteries, unless they're provided by one of our premium-price competitors, isn't as great. Andreas, you may want to...
Andreas Rouvé: Yes. Basically, the growth strategy internationally applies also to batteries. That means we are taking our infrastructure, and we are expanding into more countries. Like, for instance, with the HHI integration and acquisition, we have now suddenly a platform in more countries where we have not been before. So we can leverage that infrastructure. The second point is we are very systematically going after a multichannel strategy. That means we are serving more channels where batteries are sold, and there is still a lot of opportunity out there. And then the third pillar of our growth strategy is adding simply new and innovative products, be that power packs, be that our indestructible flashlight, and that gives us a very strong growth support.
David R. Lumley: Now your last part of the question is, would we like it as a greater percentage of our sales? You can see all of the things that are growing for us have higher growth rates than batteries, HHI, Home and Garden. I think you'll see appliances and personal care have a much better year next year. Yes, pet is a little challenged now. But if batteries were to grow $50 million or $100 million on sales of $4.5 million at a 19% EBITDA margin, would we like that? Vote? Yes. But I don't think you'll see it growing as a giant percentage of our sales, right? In fact, we're down now, as a percentage of sales, with batteries. We used to be as high as, Tony, 35%, 40% back in the day.
Anthony L. Genito: Oh yes, at one time, yes.
David R. Lumley: Not that long ago, and I think we're down into the high teens now.
Anthony L. Genito: Yes, 20%.
David R. Lumley: Yes, 20%.
Kevin M. Grundy - Jefferies LLC, Research Division: And Dave, the second part of that, just from an M&A perspective, would that be something you see more positive on the business than some of the commentary that's out there, from an M&A perspective? Would you be willing to increase the mix?
David R. Lumley: Well, that's a good question. I guess you'd have to wait and see what happens there. There's a lot of talk about what they say they're going to do. Let's see what they do, and then we'll react to that. We -- batteries is something that you can grow organically as well. You don't necessarily have to merge to get the growth, especially depending on how the competition structures itself. I mean, I'm not -- I'd say, let's just stay tuned and see what happens. Until something actually -- yes, until something actually happens, I don't know what to say, okay?
Operator: Your next question comes from the line of Ian Zaffino from Oppenheimer.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: My question would be on the new products you're rolling out on the appliance side. When do we think we're going to see some traction? Or maybe when could we start gauging the success of that? And how long does it take to kind of penetrate the marketplace? And when we do you expect good things to come from that?
David R. Lumley: Well, as soon as Santa Claus gets in his sleigh, I think it's going to do a lot better. We just had a meeting here to show our board and our -- probably the most -- I mean, I know you hear this, but this is really true. We've spent 3 years integrating Russell Hobbs and going to global in the hope of new product development and listening to our customers and consumers. We have those appliances. We really do. It was in my text, and we've got a bunch of stuff I didn't put in there that we've shown customers. We have the products now, faster toast, faster pizzas, faster cheeseburgers, better coffeemakers, better blenders. We're here, and we're competitive, and we're ready. And personal care side, we've spent 2 years. Our new shaver, our new Smart Edge foil shaver is our best ever. Our new Hyper shaver is as good as that $200 one out there that moves all around your face. It's really cool. Ours is $79. I mean, we're going to post sales numbers next year. I'm very confident in North America. Andreas has even better news, I think, in the international market.
Andreas Rouvé: Yes, especially in Europe, we have systematically rolled out the Russell Hobbs brand. And we have not only the regional expansion taking it from the U.K. across all of Continental Europe but also broadening the product offering. Like we mentioned earlier, the Illumina range, which we are launching, is a huge success, very well accepted. So I think it will continue to grow by continuously launching our new products.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: Okay. So I'll be putting that on my Christmas list.
David R. Lumley: There you go.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: Sharon's going to think I'm crazy, but I think you've found [indiscernible]...
David R. Lumley: Yes. You can go onto russelhobbs.com for...
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: And then the other question would be, as you look at -- and this might be a follow-up to the last question, is it seems like you're delevering, you're delevering very quickly. And I know you did mention this bolt-on acquisitions. But the idea of a large acquisition, can you kind of give us maybe your thoughts on your acquisition criteria for a larger acquisition? Is it something where you're willing to do a deal if the synergies are large? Or does there need to be some other type of intangible or tangible that you could potentially capitalize on? Because I guess we kind of all know there'd be large synergies if that deal would happen, but I don't know if there's anything above and beyond that. And would synergy alone be enough for you? So just give us some insight on how you think.
David R. Lumley: Well, we have said publicly, we obviously like the small tuck-in acquisitions, highly synergistic where we can manufacture it. And we've had some success with that. We've actually done some large acquisitions. I mean, Russell Hobbs was quite a large acquisition. And of course, HHI, Tong Lung was quite large. And I think we're seeing much better synergies there, as I said and you thought. We, as a company, don't want to take on too much too soon. At the same token, we have a primary stockholder. And they have been with us a long time, and they want to be with us a long time. And they want to see us grow, but I think that those big acquisitions have to be right. I know you know. You cover us. We have quite a bit of NOLs that are attractive as well, but I think that acquisition has to be, in this market, really right. We have brought the multiples. We have a lot of expectations out there. And at the end of the day, good acquisitions are one that -- where everybody wins. So I think that our eyes are open, right? We're always open to it, but we're going to have to wait and see. And it's going to have to be good. And again, that would also play a big part with our shareholders' and our owners' vision on that as well. But right now, we run the business day in, day out. We want to post free cash flow and pay down the debt. We want to keep growing our EBITDA margin. We don't want to overpay for anything. We don't want to try to make something fit that isn't right. And that kind of discipline has taken us over the last 5 -- it was just 5 years ago we kind of emerged from something and where we are today. And I think we follow the plan, we stay the course, keep doing what we're doing. And we went through half of it [ph].
Operator: Okay. Your last question comes from the line of Lee Giordano from CRT Capital.
Lee J. Giordano - CRT Capital Group LLC, Research Division: Can you talk a little more about where you're taking your pricing actions that you mentioned in the prepared remarks and what categories you're seeing some pricing power?
David R. Lumley: We could make that a short or a long one. I'm going to have Andreas jump in. We have been quite successful pricing, especially like in Latin America end markets. Well, just jump in, and then I'll come back to North America.
Andreas Rouvé: Yes, I think in the pricing, it's really as soon as the competitive environment are all under the same pressure, it will trickle through the market, like, for instance, what Dave alluded in Latin America with the devaluations. All the competitors are on the same situation. Therefore, pricing is possible. In other markets like Europe, there, it can go the other way because, again, the euro being strong against the pound, so there's more price pressure. However, there, we are coming back to our strategy of continuously launching new products because, again, if you bring new improved products, it will help you to raise also prices.
David R. Lumley: The marketplace is so global now that most of the people we compete with, we compete with globally. Clearly, that's in North America, Home and Garden would be the only exception. So -- but the cost increases, guys and gals, aren't as big as they've been around the world, and the commodities aren't as big as they have been.
Anthony L. Genito: Commodities have been relatively...
David R. Lumley: Yes, yes. So that's good news. The -- however, the consumer takeaway is much tougher right now. And you can read all the same stuff we read. The top 1% of Americans are doing really well. The rest aren't, okay? So that plays to our model. Those people want to still buy what they used to, but they're spending more for food and gas and taxes, which is a big deal. And we're getting those people. But when we get them, they still have less money. But in that environment, why pricing is difficult on existing products is people are discounting. We have competitors giving money to retailers to hold their share, right, above and beyond what I would call consumer discount, right? So that compresses pricing. So to get pricing in that market, you need new products, which is why you're seeing probably the greatest number of new products that we have introduced in the last 5 years in most of our product lines. And I could go through a big commercial, but if you want to call back, we'll tell you all that. In addition, the Internet provides some pricing opportunities for high price for people like us. That's good news. But I think you're going to see a market share war for a while in some of these products. And if you have a good model and you have good cost improvement, you can do the things we talked about, you're going to do okay, and you will actually realize some price. If you don't have new products and you're, perhaps, a premium-priced product just trying to hold on to share, you're going to have margin erosion against it, which is exactly what you're seeing in the marketplace, okay? So I think we're going to go through this readjustment over the next years. Remember how I talked earlier about smaller store formats, what's the mix of Internet, what's your mix of value-branded products versus premium? Does the retailer really want to stay involved in private label and take the risks on currency and sell-through and packaging and returns? We're seeing a shift in that. So I think that the companies that can do that are going to do well. And our model works best when we're next to a premium-priced product, right? So that's what they do in the Internet. So that's really good. So I think you're going to see some pricing across-the-board. You're going to see good cost improvement across-the-board, but the new products and the new channels is where you're going to see realized pricing of that. That make sense?
Lee J. Giordano - CRT Capital Group LLC, Research Division: That's very helpful. And just a quick follow-up. Can you talk about your thoughts on the residential lockset market? And then the housing market, in general, is it helping or hurting you right now?
David R. Lumley: Well, there, we just had our leader of HHI, Greg Gluchowski, here the other day. And I think he would tell you if he was on the line that, overall, they're both healthy. Clearly, let's go back 2 years ago. Residential and housing market is better than it was, right? That's healthy, right? That's healthy, especially when you have new technology that says we have a SmartKey lock where you can go away for the weekend, your neighbor can get a key, and Monday -- and you can turn the key off. Or you have a keyhole lock where you can do it with your smartphone, right? So I think that housing is helping. But what's really growing, which is buried in those numbers, is multi-family, which we're strong in. And we can sell in that hospitality. That's got double-digit growth rates. In addition, 75% of our sales there are in retrofit, redo, put in the new SmartKey lock, put in the new Kevo. Oh, they all got to match now. And quietly, they're doing quite well in Pfister and U.S. plumbing in matching all the products up in the bathroom in there to sell. In fact, we have a very successful program where we select all that ahead of time, display it at a key home center, and they're doing really well at that. So I think that HHI's promise is coming to fruition. The numbers speak for themselves. Who was it? Bill Parcells said, "You are what your record says you are." So the record is pretty good. Tony, do you want to add anything?
Anthony L. Genito: Yes, just real quickly, as everything David said is spot on. Just to reinforce, when we built our assumptions for this year, we did not assume as fraught a housing start market because we just didn't think it was real to the extent that the market itself was saying. So we were about half of what -- of the expectational growth from -- say, they were shooting at low 20s, and we were like in the 10%, 11% range. On top of that, as Dave said, 75-25 replacement model versus new construction. And has the housing market been helping us? Absolutely. But probably, I think it's -- the growth is below expectations of what the industry experts had expected. That's definitely been a tailwind for us. But our home -- our Hardware & Home Improvement business, when they build their expectations for this year and go forward, they attempt to do that without having a reliance on a strong, robust housing market. If that happens, that's wonderful. And we hope it does happen, and we pray that it happens. But with that being said, we -- through the enhanced technology that Dave talked about, with Kevo and SmartKey and -- yes, we're just taking share, which is what we've been doing. So we're pretty pleased with the performance since the acquisition.
Operator: Your next question comes from the line of Karru Martinson from Deutsche Bank.
Karru Martinson - Deutsche Bank AG, Research Division: I just wanted to touch on the sluggish consumer, and the takeaway is tight reorders. I mean, where are their market share gains coming from then? Is that coming from -- on your end from the branded players? Do you feel that you're taking it from the private-label guys?
David R. Lumley: Yes, this is Dave Lumley. We didn't hear the first part of your question. For some reason, we're having -- are you talking about batteries?
Karru Martinson - Deutsche Bank AG, Research Division: Well, just in general, across your categories, I mean, I guess, putting aside Home and Hardware...
David R. Lumley: Well, yes, I could answer -- I'll answer that. Most of our market share gains in listings are coming from our premium-price competitors in most categories, and the data would show that. In private label, we tend to do a lot more private label than our premium-priced guys. So we don't get credit for private label in the market share numbers. But if we did, we would have higher shares in all of our categories. But it's mostly the premium-priced player, and that would especially be true -- well, in -- and especially in some of our businesses, that's true. So that's why we like to say, put us side-by-side, and it's just a matter of mix for the retailer. Clearly, premium products are good products. I mean, they need to be there. It's just not our mix. How much on the shelf of those versus ours? Are we next to them? Give the consumer a choice. And again, that's what's great about the Internet. Let's read the reviews.
Karru Martinson - Deutsche Bank AG, Research Division: Okay. And then in terms of -- you mentioned unusual discounting or promotions in the market. I guess, could you provide a little more color on kind of what you were referencing? And how long do you think those will continue?
David R. Lumley: Unusual discounting is usually a function of having too much inventory, if you're a manufacturer, or emotional or share or maybe an unusual opportunity at a retailer who wants to make a statement. They don't tend to last that long for the very nature that the market will flush it out. So if you did an unusual deal at retailer A, when the other 6 retailers find out, you have to lower it due to [indiscernible]. So I think that we're going to see some of this balance out again as we go forward. Christmas is kind of set. You're going to have your Black Friday crazy stuff, but that's usually for a day. And like I've said before, I think in most cases, it balances out, and you have to win on the merit of your selling proposition and your product performance and your -- where you have distribution. So I don't think that you should worry about a wholesale war. Most of the categories we're talking about, especially batteries, Home and Garden, HHI, these are categories where everyone does well. And there is no reason to do that. Some of the other categories that are lower margin, we've all learned, like appliances, that those don't work. They don't work for the retailer. They don't work for the company. They don't work for the supplier. You can't sell things below cost and think you're going to do all right. So I'm optimistic that it will get better. Now that said, that doesn't mean that retailers and manufacturers don't need to offer compelling promotions this Christmas and this back-to-school with the right products. For instance, you don't take a $100 product and sell it for $30 and lose money on it, but you can certainly take a $50 product and sell it for $39, which is a great deal. Or you can value-add a lot. I think that's also a key to success in the future. You buy this, you get all these other things. And I think the Internet is proving that to be the case as well. So again, the only point I was trying to make is changing landscape with the consumer. I think we're well positioned to do well in it, but people are adapting, and people have to adapt. And those who adapt will win. I don't want to sound like a philosopher, but Darwin didn't -- Darwin's quote wasn't the survival of the fittest. The beginning of that quote said, "Those with the ability to change will lead to the survival." And I think that's where we all are.
Karru Martinson - Deutsche Bank AG, Research Division: Okay. And just lastly, I would have hoped that the warm Wisconsin summer would have persuaded Tony to stay, but neither was in the -- an update on the CFO search here?
David R. Lumley: Well, we said that Tony is staying until the end of the calendar year. And I don't know. Unless you were in Wisconsin some day when it was warm, I don't know. But I haven't seen that yet. I think it's going to hit 73 today. But no, we have announced we are well into an exhaustive search. And we've made progress, and we're getting to our goal of being able to come back to you and tell you where we are on that pretty soon, clearly, hopefully, by the end of the summer. And as you said, there's -- we have until December 31 to also create the illusion it's warm in Wisconsin for Tony. So -- but I'm confident we're going to do okay, do pretty well there. We've seen some very, very great candidates and many who would, more -- most importantly, fit our culture, fit our model and believe in what we do, which is a little different than other people's models. So I would say it's good on both sides.
David A. Prichard: With that, we will now conclude our conference call. I certainly want to thank Dave, Andreas and Tony. And on behalf of Spectrum Brands, we want to thank all of you for participating in our fiscal 2014 third quarter earnings call. Have a great day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.